Operator: -- to the Evolv Technologies Fourth Quarter Earnings Results Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions]. And as a reminder, this conference is being recorded. I would now like to turn the conference over to our host Mr. Brian Norris, Senior Vice President of Finance and Investor Relations. Please go ahead.
Brian Norris: Thank you, Grace and good afternoon everyone. Welcome to the call. I'm joined here today by Peter George, our President and Chief Executive Officer and Mark Donohue, our Chief Financial Officer. This afternoon, after the market closed, we issued a press release announcing our fourth quarter results and our business outlook for 2023. This press release along with an accompanying slide presentation is available on the IR section of our website. During today's call, we will make forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, Section 21E of the Securities Exchange Act of 1934, and the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 that relate to our current expectations and views of future events, including, but not limited to, statements regarding future operations, growth and financial results, our potential for growth, and ability to gain new customers, demand for our products and offerings, and our ability to meet our business outlook. All forward-looking statements are subject to material risks, uncertainties, and assumptions, some of which are beyond our control. Actual events or financial results may differ materially from these forward-looking statements because of a number of risks and uncertainties, including, without limitation, the risk factors set forth under the caption Risk Factors in our annual report on Form 10-K for the year ended December 31st, 2021, filed with the SEC on March 28th, 2022 and as updated in other documents including our quarterly reports on Form 10-Q, all filed with or furnished to the SEC from time-to-time. Our forward-looking statements made today represent our views as of March 1st, 2023. Although we believe the expectations reflected in these statements are reasonable, we cannot guarantee that future results, performance, or the events and circumstances reflected in our forward-looking statements will be achieved or will occur. Except as may be required by applicable law, we disclaim any obligation to update them to reflect future events or circumstances. Our commentary today will also include non-GAAP financial measures, which we believe provide an additional insight for investors. These measures should not be considered in isolation from, or as a substitute for, financial information prepared in accordance with GAAP. Reconciliations between GAAP and non-GAAP metrics can be found in our press release issued today. Please note that our definition of these measures may differ from similarly titled metrics presented by other companies. Tonight, we will also be discussing key metrics such annual recurring revenue or ARR; remaining performance obligation, or RPO; deployment activity; and total number of subscriptions, each of which we believe are helpful to investors in understanding the progress we're making as a business. Before I turn the call over to Peter, let me briefly highlight here on slide three that we will again be hosting a variety of live and virtual investor events throughout the quarter. We will be hosting events with Cowen, Stifel, Cantor Fitzgerald, and Northland Capital and we're also excited to announce that we'll be hosting the first-ever Evolv Technology Analyst Day at Fenway Park in Boston on May 25th. That event will take place immediately following the JPMorgan Technology Conference, which, of course, is considered an Annual Rite of Spring for many tech investors. More details to come, but for now, please mark your calendars for Thursday, May 25th. For more information about our IR plans, please contact me at bnorris@evolvtechnology.com. With that, I'd like to turn the call over to Peter. Peter?
Peter George: Thanks Brian and thanks everyone for joining us today. We're pleased to be reporting strong fourth quarter results, which capped a historic year for the company. Our results were highlighted by record growth in new customers, revenues, ARR, and RPO. We have a lot of exciting news to share with you today, but before we do that, let me take a moment here on slide five, to remind everyone of our mission, which is to democratize security, making venues, facilities, and people everywhere more secure. We're focused on making the world a safer place and more enjoyable place to live, to work, to learn, and to play. As we prepare to commemorate our 10th anniversary as a company later this year, I can tell you categorically that the mission our founders laid out in 2013 is timeless and yes intact. We are a mission-driven company made up of mission-driven people as we are the human security company. Moving to slide six. Revenue in the fourth quarter was $20.9 million, up 217% year-over-year and 26% sequentially. For the year, revenue was $55.2 million, up 136% year-over-year. Our growth continues to reflect strong customer acquisition activity and the continued expansion of our subscription base. We welcomed over 100 new customers in the fourth quarter and nearly 300 in the year. We activated 575 new multi-year subscriptions of Evolv Express in the fourth quarter alone and nearly 1,600 in all of 2022. Further, we grew ARR from $13 million at the end of 2021 to $34 million at the end of 2022, reflecting growth of over 160%. We anticipate ARR to again double in 2023, which combined with expanding gross margins and prudent expense management, should enable us to reduce our adjusted EBITDA losses by as much as 20% in 2023, while reducing our cash usage by about 20 million. We expect to end the year with about $170 million in cash. Mark will share more thoughts on our outlook in a few moments. Moving to slide seven. We're seeing several interesting dimensions of our leadership emerging. One positive indicator is bookings activity, which increased 27% sequentially and 222% year-over-year. Other powerful measures include, we had 14 transactions of at least $1 million of PCB in the fourth quarter compared to three in the fourth quarter of last year. We grew our installed base of Evolv Express subscriptions from 703 at the end of 2021 to 2,267 at the end of 2022, reflecting growth of 222% year-over-year. We further expanded our reach and now have Evolv Express units deployed in 45 US states as well as Puerto Rico. Finally, and perhaps the best time that our value proposition is resonating in the C Suite of major enterprises, we're pleased to announce that Evolv Express is now installed at three of the Fortune 20 and eight of the Fortune 100 companies. We believe that our results continue to reflect several major trends. The first is the unfortunate and tragic trend in escalating gun violence in the United States, which is reflected here on slide eight. According to recently released reports, from the Gun Violence Archive, there were 648 mass shootings in 2022. This is over twice as many mass shooting as occurred annually just a decade ago. This is a mission we were born to undertake to democratize security and make venues and people safer and more secure. We're doing this one customer at a time, one venue at a time, and one entryway at a time. As you can see here on slide nine, we screened close to 115 million visitors in the fourth quarter. During 2022, we screened over 350 million visitors, which is equivalent to the full population of the United States. It's also more than twice the number of visitors we screened in 2021. We have now screened over 0.5 billion visitors and expect to surpass 1 billion visitors screened by the end of 2023 as the momentum of our customer base and deployments accelerates. In terms of making a fundamental difference in visitor security, our customers used Evolv Express to tag over 176,000 weapons in 2022, including 93,000 guns and 83,000 knives. In the fourth quarter alone, they tagged nearly 70,000 weapons including 36,000 guns and 33,000 knives. That's an average of 400 guns every single day. Turning to slide 10, another significant development is our growing technical advantage in the market. Building on our already strong technical lead in the fourth quarter, we released several new major advancements. First, we've expanded our API library, extending integration from Evolv Express to various security endpoints such as video management systems, video analytics, infinite management systems, and mass notification systems. Next, we released several new data extract APIs, which allows customers to ingest Evolv Insights, security screening, and ingress data into their existing data infrastructure. And finally, we launched our new Evolv Insights dashboard, which enables our customers to better understand security staff screening performance. Because our customers are on long-term subscription contracts with us, they can easily take advantage of these breakthrough capabilities as they are released over time through our powerful cloud-based environment. More venue operators are turning to us to power their digital thresholds. We are digitally transforming security with critical capabilities not only in weapons detection, but in adjacent areas such as crowd assessment, mass notification, and people flow analytics. These capabilities enable us to continually raise the bar of innovation and bring better and better products to the market. And in time, we believe this will enable us to optimize average revenue per unit or ARPU and maximize renewal rates as and when customers reach the end of their initial subscription contracts. With better data and better products, we're able to deliver a superior value proposition to the market. We're able to classify threats based on a unique, large, and rapidly growing data set that makes it possible with our advanced algorithms to improve detection accuracy over time, which we believe makes our customers' venue safer than ever before. Turning to slide 11, we believe that our highly differentiated new customer acquisition efforts provide a first-mover advantage due to the strong network effect dynamics of our market. We are proud to partner with over 500 customers across are key vertical markets to create safer zones for them and their visitors, employees, students, and yes, fans. As highlighted here on slide 12, our strong new customer acquisition activity continued in Q4. We added 106 new customers in the quarter, up from our previous record of 92 in third quarter. Our measure is arguably a conservative view because for us, one customer could mean a dozen or more buildings in one new school district or a new healthcare system. For example, our single largest customer, a school district, now has over 160 Evolv Express units deployed across dozens of high schools and middle schools. We're excited to welcome dozens of iconic venues including View Boston, which sits high atop the Prudential building here in the Bath Bay; The Norton Museum of Art, located in West Palm Beach, Florida; The Honolulu Museum of Art in Hawaii; The Ocean Casino Resort in Atlantic City; The Seabreeze Amusement Park in New York; The International African-American Museum in Charleston, South Carolina; and the Ronald O. Perelman Performing Arts Center in New York City, which is set to open later this year. As highlighted here on slide 13, our accelerating new customer activity coupled with expanding deployments among our existing customers is leading to significant growth in our installed base of Evolv Express subscriptions. In the fourth quarter, we deployed a record 575 Evolv Express units that are powered by long-term four year subscription contracts. We now have over 2,200 Evolv Express units deployed. Moving to slide 14, we have seen and expect to continue to see momentum with our channel partners, which helps us extend our reach to certain geographies and vertical markets, primarily in healthcare and education. Over 65% of our sales activity came from or through a channel partner in 2022. We expect to continue to see strong activity with Johnson Controls, the newly formed Securitas Technology and Motorola Solutions, as well as dozens of other regional partners like Alliance Technology Group and Stone Security. These relationships will be central to our plans to scale over time. Turning to slide 15, we remain well-positioned in the major vertical markets that have been among the earliest adopters of our technology, specifically education, healthcare, and professional sports. The education market remains exceptionally large with nearly 130,000 schools across the nation, half of which are middle schools and high schools. Gun violence in schools remains a top issue for district leadership, school administrators, parents, teachers, and students. The tragic news is that 1,676 children under the age of 18 were killed by gun violence in 2022. That's five of our children every day. Unfortunately, that rate has increased here in 2023. The Center for Disease Control and Prevention reports that firearm-related injuries have now surpassed motor vehicle accidents and has become the leading cause of death among children and adolescents. Add to this the number of children that sustain non-fatal injuries and the escalating anxiety levels among young people and the pain and emotional damage that is being created is likely to be felt for generations to come. We're on a mission to improve the safety of young people and for us that starts with students and their schools. This continues to be our number one end market. We partner with our customers to create safer zones in over 400 school buildings, up from 200 at the end of the third quarter. Another measure of our progress in education is our penetration rate among the 100 largest school districts in the country, which now stands at eight. We're pleased to welcome The Duval County School District in Florida, The Columbus School District in Ohio, The Johnston County School District in North Carolina and The Buffalo Public School District, which is the second largest school district in all of New York. Combined, these four customers are in the process of deploying 200 Evolv Express units. All told, the education vertical represented half of our business in the fourth quarter. Turning to slide 16, another major market for Evolv continues to be healthcare, which includes over 6,000 hospitals and where over 70% of workplace violence takes place. Hospital administrators are making investments to enhance patient and safety and we stand well-positioned to fill this market need. We added dozens of new healthcare customers in the fourth quarter, including the University of Illinois Hospital, Grand View Health in Pennsylvania, Meritas Health, Western Maryland's largest healthcare provider, and Stoney Brook University Hospital, Long Island's Premier Academic Medical Center. We're pleased to report that we added another 25 hospitals in the fourth quarter and now served nearly 100 hospital buildings across the country. That's up from just seven hospital buildings a year ago. We're absolutely honored to be the trusted training partner for these medical professionals and their patients. One more market to highlight here on slide 17, is professional sports, where we continue to transform the guest experience from millions of fans at stadiums and ballpark around the country. We enable fans to enjoy a faster, more convenient, and more secure screening experience. We added several new professional sports teams in the fourth quarter, including three major league baseball teams, yhe Minnesota Twins, the Philadelphia Phillies, and the Houston Astros. We also added another NHL team, the Tampa Bay Lightning and our seventh major league soccer franchise the Colorado Rapids. We now screen millions of fans of nearly three dozen professional sporting teams across the NFL, MLS, MLB, and NHL. We expect that these three markets, education, healthcare, and professional sports, along with warehouses and tourist attractions, will be central to our expansion plans in 2023. So, to summarize here on slide 19, we're reporting strong fourth quarter results, highlighted by record revenues, ARR. and yes RPO. We're seeing growing market awareness and strong new customer acquisition activity. We're continuing to see evidence of the leverage in our business model. We have an exciting growth plan for 2023, which is focused on again doubling our ARR. And we believe that we remain well-capitalized and believe that the strength of our balance sheet will enable us to reach cash breakeven without any additional capital. With that, let me turn things over to Mark who will take you through our financial results and our outlook. Mark?
Mark Donohue: Thanks Peter and good afternoon everyone. I'm going to review our fourth quarter results in more detail and walk through our thoughts on 2023. I will start here on slide 20. As Peter mentioned, total revenue was $20.9 million, up 217% year-over-year and 26% sequentially. This compares favorably to our previously issued guidance of $12 million to $14 million Our revenue growth in the fourth quarter continued to be fueled by strong new customer acquisition activity, continued hardware purchase activity, and rapid acceleration in subscriptions. TCV was $57.6 million, up 222% year-over-year and 27% sequentially. We saw broad vertical market contribution with strength in education, healthcare, and professional sports. Moving to slide 21, ARR at December 31st, 2022 was $34.1 million compared to $12.9 million at December 31, 2021, reflecting growth of 164% year-over-year and 19% sequentially. This compares favorably to our previous guidance of $31 million to $32 million. Remaining performance obligation or RPO as of December 31st, 2022 was a record $144.6 million compared to $51.4 million at December 31, 2021, up 181% year-over-year and 32% sequentially. Flipping to slide 2022, adjusted gross margin, which excludes stock-based compensation, was 1% in the fourth quarter of 2022 compared to negative 9% in the fourth quarter of last year. As a reminder, we recognize all the product costs related to product sales in the period of the sale rather than over the associated subscription term, which is typically four years. As we've discussed previously, our gross margins do not yet reflect the overall business value we are delivering the customers as we're using two very different accounting treatments between our pure subscription sales and our hardware purchase subscription sales. As a reminder, since August of last year, we have been transitioning more of the pipeline and opportunities to a pure subscription structure. As we continue to shift and we continue to engineer product costs down, we expect overall gross margins to continue to expand. Adjusted operating expenses, which exclude stock-based compensation, loss on impairments of lease equipment, and certain other one-time expenses were flat sequentially at $19.7 million compared to $19.8 million in the third quarter of 2022 and $15.7 million in the fourth quarter of last year. The increase year-over-year primarily reflects headcount growth across the business, particularly in revenue-generating positions and in research and development. We exited the quarter with 225 employees compared to 214 employees at September 30, 2022. For context, we added approximately 12 employees in the back half of 2022, primarily in sales and support. We expect to continue to moderate headcount growth in 2023. Net loss was $28.1 million compared to net income of $4.8 million in the fourth quarter of last year. As a reminder, net income in the year ago period was significantly impacted by one- time non-cash valuation benefits. Adjusted loss, which exclude stock-based compensation, non-cash charges, and other one-time items was $18.1 million compared to $16.3 million in the fourth quarter of last year. Adjusted EBITDA, which excludes stock-based compensation and other one-time items was negative $17.8 million compared to negative $15.2 million in the fourth quarter of last year. This loss was slightly higher than anticipated due to a higher blended purchase subscription versus pure subscription sales. Turning to the balance sheet, we ended the quarter with $230 million in cash and cash equivalents, an increase of $11 million sequentially. Let me take a moment to walk through the major elements of our change in cash from the third quarter. First, we had a net loss of $28.1 million in Q4, which resulted in a net use of cash from operating activities of about $5.3 million. We used about $3.9 million for the purchase of property, plant, and equipment, primarily for Express units deployed at our customers. We used $9 million to extinguish the final piece of long-term debt, which was a holdover from our pre-IPO days. All of this was more than offset by a $30 million drawdown we completed under our new non-dilutive financing program implemented in the fourth quarter with Silicon Valley Bank. The drawdown was equal to all of the cash we had previously deployed in the preceding seven quarters to support our pure subscription model business. Going forward, we expect program will enable us to effectively offset any cash use to support hardware assets for our pure subscription model. I want to close with a few comments about how we're thinking about 2023, which is highlighted here on slide 23. For context, we are beginning to recognize seasonality trends in our business and believe a greater percentage of our activity will come in the second half of the year like we saw in 2022. We expect revenues of between $55 million to $60 million in 2023. This assumes a meaningful transition to our pure subscription model effective January 1, 2023. As a reminder, in 2022, almost 60% of our revenue and about 65% of our unit bookings was related to our pure subscription model, which requires us to accelerate the hardware revenue recognition and 100% of the related product costs. These dynamics have historically disguised the full-term gross profit of our customer transactions. Our plan is to minimize these types of transactions going forward. That said, we're looking at innovative ways that venue operators could own Evolv Express units without placing the typical timing-related burden on our gross margins. More to come on that once we explore further. Using the same purchase subscription to pure subscription revenue mix in 2022 that we are currently estimating for 2023, our total revenues would have been approximately $30 million rather than the $55 million we delivered last year. So, our goal of delivering $55 million to $60 million in revenue in 2023 would have reflected growth of approximately 90% rather than what appears to be about 10% growth. Further, we did not make the subscription transition in 2023 and our purchase to pure subscription revenue mix in 2023 was consistent with what we had in 2022, our outlook for total revenues in 2023 would have been more in the range of about $115 million to $120 million reflecting growth of over 100%. The net effect is that 2023 becomes a bit of an odd comp year, but we believe that the transition to more subscription sets up for high quality, high margin and highly predictable revenue growth going forward. We expect to end 2023 with ARR of between $65 million to $70 million, compared to $34 million at the end of the year 2022, effectively doubling our recurring revenue this year. We expect gross margins to improve throughout 2023 and are currently modeling between 30% to 35% for the full year. This reflects the benefits associated with the across the Board price increases we implemented effective January 1 and an overall improvement in product subscription mix. We will continue to carefully manage expense growth and leverage the investments we made over the last two years. Of the hiring that we intend to do this year, we expect more than half to be customer facing revenue generating roles. We expect to reduce our adjusted EBITDA losses in 2023 by about 20% year-over-year to approximately $55 million. Finally, we expect to exit the year with cash in the range of $165 million to $175 million. With our new non-dilutive financing program in place, investors should expect that our cash usage will be closely aligned to our adjusted EBITDA. So in summary, we had a strong fourth quarter, which capped a historic year of growth for the company. We expect to invest appropriately in the business where we see opportunities and remain excited about our long-term prospects. And with that, I'll turn the call back over to Brian.
Brian Norris : Thank you, Mark. At this time, I would like to turn the call back over to our friends at AT&T to open up the call for Q&A. Again, we're going to ask participants to limit themselves to one question and one follow-up.
Operator: Thank you. [Operator Instructions] We'll go to the line of Mike Latimore with Northland Capital. Please go ahead.
Mike Latimore : Great. Thanks. Good afternoon. Super results there. I mean, the bookings growth of over 200% is very impressive number of seven figure deals really stands out as well. I mean here, but congrats on the year end quarter. I guess two questions. If I look at -- if you think about the SaaS for the subscription business, I think you said it was 55% of bookings I believe in 2022. And how are you thinking about that as a percent of bookings this year?
Mark Donohue : Mike, this is Mark Donahue. We're moving -- we're really moved trying to shift the business our hardware enabled SaaS business to subscription. So I would expect that the subscription side of our business will be a pretty heavy number. We made comments in the script about starting to move away from selling hardware. But no matter what, whether the hardware is rented through us or bought through a third-party in the future, we'll always be recognizing that subscription. So I would expect the subscription line to start to grow substantially and move towards 80% plus of our business going forward.
Mike Latimore : Yes. Got it. And then on the last quarter you talked about kind of redesigning the hardware. Can you just kind of give a little bit of update on that in terms of timing and what kind of cost changes you might see there?
Peter George : Hey, Mike, it's Peter. We're spending this year doing a cost reduction plan, we call it 2-hour next generation product that will be available in early 2024. So that's on track. We have a lot of confidence that we'll be able to deliver that in earnest and at scale in the beginning of 2024, which should bring -- it will have very similar attributes and capabilities and features of our existing product, but will be cost reduced, which it should help our gross margins next year in a pretty significant way. So between the move to subscription this year and then the cost reduced next generation too well, we feel very, very good about our gross margin outlook in the next couple of years.
Mike Latimore : Okay. Excellent. Thanks very much. Congrats again.
Peter George : Thanks Mike.
Mark Donohue : Thanks Mike.
Operator: Thank you. Next, we'll go to the line of Shaul Eyal with TD Cowen. Please go ahead. 
Unidentified Analyst: Hey, guys. This is Hugh [ph] on for Shaul. Congrats on the strong quarter.
Peter George : Thank you.
Mark Donohue : Thank you.
Unidentified Analyst: Two, first for Peter, you guys talked about, I think you said three of the Fortune 28 and the Fortune 100. You tell me is your -- how's that discussion progressing? Has it changed in light of the uncertain economy? Is it -- are the motivations changing because of e-commerce? Is it just still being primarily or solely driven by the sort of the increasing number of mass shootings with it?
Peter George : Yes, I think the combination of the anxiety in mass shootings that continue to be prevalent everywhere. In the month of January Q, there were 30 days in January and 48 mass shootings in the United States. In California alone in a six-day period, or a 13-day period, there were six mass shootings. So it's becoming a daily event and such a sad way that I think that's driving CEOs at major enterprises and every executive to think first about the safety of their employees and the safety of their people. And that's encouraging them to make decisions with evolve to keep their employees or get their employees back to work in the office than a hybrid model or fully, but know that when they come back to work they're going to be safe. So workplace violence is a big issue and we can certainly help with our technology and our people.
Unidentified Analyst: Okay. I wanted to squeeze in one for Mark about the gross margin embedded in the RPO. But Peter, back to you again, When you spoke a lot earlier about what seems to be a strategy for expanding data in and data out customers and integrating with other platforms.
Peter George : Yes.
Unidentified Analyst: And this question is really about the sort of add ins that we talked about earlier in your life cycle. I think we talked about ticketing and things like that. When you're having discussions with your customers, is there one particular application that a lot of them are interested in?
Peter George : There are several that come up and a lot of the infrastructure actually is already there. So video management system, the VMS systems from the leading providers that are already there, they want us to connect to those. Access control systems, turn styles, our badge readers, they want us to connect to those systems. Video analytics systems for outdoor detection of weapons. As you know, we can find concealed weapons, but connecting to companies that are doing video analytics for gun detection. So we can see somebody who's drawing a gun outside of a building is something that they want us to connect to. So in addition to biometrics and ticketing that we've talked about before, there's a high desire to connect the security infrastructure to give companies and security people, situational awareness that they just didn't have before. So those are the three or four areas that we're integrating with our key customers.
Unidentified Analyst: Thanks Peter.
Peter George : Great.
Mark Donohue : And your question on RPO2, for the quarter, we're at the $144.6 million level. That represents the unbilled activity on both deployed and undeployed units over the next three-plus years. Some of this is pure subscription and some of it is the back end software portion of hardware that we've already brought together. So when you look at the combination of those two things, we have analyzed that the margins sitting within that number are about 65% plus right now that we'll recognize over the next three years.
Unidentified Analyst: Great. Thank you, Mark.
Mark Donohue : No problem. Thank you.
Peter George : Thank you.
Operator: Thank you. Next, we'll go to the line of Brett Knoblauch with Cantor Fitzgerald. Please go ahead.
Brett Knoblauch : Hi, guys. Thanks for taking my question and congrats on the quarter and strong finish to the year. Can you just walk through me, I guess, the sequential growth in subscription revenue, given how strong ARR growth was last quarter and this quarter as well I would have thought you would have seen a bit more flow through to subscription. So I guess can you just help me understand the dynamics there?
Peter George: Sure. And Brett, welcome to the call. We appreciate it having you on board. In terms of subscription, revenue quarter-over-quarter. We made an announcement to both our sales force and as well as to our base that we were moving to more full subscription beginning on January 1. So we had a fair amount of activity in the pipeline that was still bent towards the purchase subscription model. So we executed on that quite a bit. Q4 was actually meant to be more purchase subscription than it was pure subscription as we kind of went through that process. In the beginnings of Q1, we've already seen that trend starting to change, but in terms of the growth in subscription or the ARR. One thing you got to remember is that a lot of what we booked in Q4 will not show up until Q1. We -- most of what we did incrementally in ARR from Q3 to Q4 is represented on what we shipped at the end of Q3 in the very beginnings of Q4. We tend to have more back end loaded quarters and we probably do about half our business in the first two months and the other half in the final month. So that really kind of, I would say, if you look at kind of a blend of Q3 and Q4 that would give you a sense of where that is and but that -- but what we did in Q4 is a good indication of how the strength we may see in Q1.
Brett Knoblauch: Perfect. That's helpful. And you mentioned a bit about seasonality. So you guys are growing extremely fast when units deployed, it's seemingly not being impacted by seasonality as every quarter is a new record. How – when we look at 2023, should we expect maybe units deployed in the first half to be lower than what we've just seen in the last couple of quarters? And then to pick up again in the back half of the year?
Peter George: Yes. So I think a couple of things to understand is that we're really starting to see verticals like K to 12 and healthcare become a very prevalent part of our business. Those two verticals together will likely be more than 50% of our business combined as we go into next year. And between those two verticals, we're starting to see trends in their buying patterns and their budgetary situations. And so coming out of Q4, it was very strong. When we look back at last year and some of the trends we're seeing early in this year, we see – we see a strong pipeline, but actually getting past the goal line, we think it'll be stronger in the second half than it is in the first half in totality.
Brett Knoblauch: Perfect. Thank you, guys. I really appreciate it.
Peter George: Thanks, Brett.
Mark Donohue: Thank you, Brett.
Operator: Thank you. [Operator Instructions] Next, we'll go to the line of Brian Ruttenbur with Imperial Capital. Please go ahead.
Brian Ruttenbur: Yes. Thank you very much. First of all, question on cash on the year on your fiscal 2023 guidance 165 to 175 is that assuming any debt? Is that a net cash number you ended the quarter just trying to understand your balance sheet where it is right now with cash and some debt roughly $20 million of debt. Maybe you can walk me through that a little bit where you expect your cash debt balance for 2023?
Mark Donohue: Yes. Brian, it will be -- that number will be our cash figure, we'll obviously have a little bit more debt that comes on. As we start to ship the subscription business, especially the pure subscription business. As we buy that asset, we'll take out more debt throughout the year. We're probably heading in the range of another 10 million to 20 million in debt depending on how much volume comes through that purchasing methodology. The cash number we're showing you is the pure cash number, not the net cash number. So you could do the math on the balance sheet for that.
Brian Ruttenbur: Okay, perfect. Thank you very much for that color. And then in terms of guidance in terms of revenue, can you give us any -- I know this has been asked a little bit, but it seems like a lot of growth is going to happen in subscription. Can you give us a little breakdown of your guidance between product revenue subscription and service? Because it looks like it's a very different mix than 2023 versus 20 22?
Mark Donohue: I think you're right to say that that mix will be quite different. I would say what will really happen in the early parts of the year, let's say the first half of the year, you'll see the product number continue to be relevant especially in Q1 and then start to dissipate throughout the year. I don't think our product revenue will ever go to zero. We'll always be selling some element of product through. But our focus and like I think I said to one of the other gentlemen on the call is to really push that subscription line. So going forward, we are either going to be selling pure subscription, which gets recognized in that pure subscription line of the three lines on the P&L or we're going to be selling the subscription that goes along with hardware that's likely to be purchased through a distributor, which will also go through that line. So I think as you model things throughout the year, you should probably think about putting the subscription number up higher and higher as a percentage And I would say over the next 18 months to 24 months, we're probably going to try to achieve 80% subscription during that period.
Brian Ruttenbur: Okay. Then as a follow-up to that, just trying to model first quarter, should it look something similar to fourth quarter or should we see a big drop in terms of product? Because product was much higher than I anticipated in that fourth quarter?
Mark Donohue: Yes, I think product will continue to be a pretty prevalent number in Q1, mostly because we continue to take orders as we exited the year and we're continuing to deploy orders out of our backlog. So while I don't think the number will be quite as high, it will be a meaning number in Q1 and start to really decline Q2 forward.
Brian Ruttenbur: Okay. Very good. Thank you. And then also the services revenue then typically when you have high product revenue, you also have high services revenue. It should be also is that a good logic? Or is there something I'm missing there?
Mark Donohue: The services revenue, just remember that this -- we took the hardware revenue as part of a deal and that happens one time for all the hardware purchase orders that we've done, which you're seeing the recurring nature of in the service line, we'll continue to see that. We also have a little bit of revenue in the service line that happens due to installations and things of that nature. But again, as we go through this, I think what you'll start to see is that we'll move towards I would say the subscription line being about 80% and the services line being 15% to 20% would some points in product over the long term.
Brian Ruttenbur: Great. Thank you very much.
Operator: Thank you. I have no further questions in queue. We'll turn the call back over to Peter George for closing comments.
Peter George: All right. Thank you very much. Look everyone, thanks so much for joining us. We had a historic year in 2022 capped by an amazing Q4 where we set records in revenue in ARR and RPO, because we have this amazing sense of platform, our growing awareness in major cities is making us ubiquitous in places. If you go to New York or Nashville, or Atlanta or Chicago, you'll see us in ballpark, in museums, in schools and tourist sites and that has force multiplying effect when people experience going through the system, it's very helpful for us. So we're continuing to get awareness in the market. That's really, really valuable. We're getting tremendous leverage in our business model this year. In fact, we grew revenue twice as fast as we grew expenses. We're excited about 2023 and our growth plans to double ARR. And then finally, as we mentioned, our balance sheet, we're well capitalized and feel very strong about exiting the year with a lot of cash in our balance sheet. So thank you all for joining us. Remember our Analyst Day on May 25. We'll be at the iconic Fenway Park. We'd love to have you all there and thank you for joining us today.
Operator: Thank you. Ladies and gentlemen, that does conclude your conference for today. Thank you for your purchase a patient and for using AT&T event conferencing service. You may now disconnect.